Operator: Good day, everyone, and welcome to the American Superconductor First Quarter 2022 Earnings Conference Call. Today's call is being recorded.
 And now at this time, I'd like to turn the call over to John Heilshorn of LHA Investor Relations. Please, go ahead. 
John Heilshorn: Thank you, April. Good morning, everyone, and welcome to American Superconductor Corporation's First Quarter of Fiscal '22 Earnings Conference Call. I am John Heilshorn of LHA Investor Relations, AMSC's Investor Relations agency of record. With us on today's call are Daniel McGahn, Chairman, President and Chief Executive Officer; and John Kosiba, Senior Vice President, Chief Financial Officer and Treasurer.
 American Superconductor issued its earnings release for the first quarter of fiscal '22 yesterday after the market closed. For those of you who have not been able to see the release, a copy is available at the Investors page of the company's website at www.amsc.com.
 Before starting the call, I'd like to remind you that various remarks that management may make during today's call about American Superconductor's future expectations, including expectations regarding the company's second quarter fiscal '22 financial performance, plans and prospects constitute forward-looking statements for purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by such forward-looking statements as a result of various important factors, including those set forth in the Risk Factors section of American Superconductor's annual report on Form 10-K for the year ended March 31, 2022, which the company filed with the Securities and Exchange Commission on June 1, 2022, and the company's other reports filed with the SEC.
 These forward-looking statements represent management's expectations only as of today and should not be relied upon as representing management's views as of any subsequent date to today. While the company anticipates that subsequent events and developments may cause the company's views to change, the company specifically disclaims any obligation to update these forward-looking statements.
 Also on today's call, management will refer to non-GAAP net loss, a non-GAAP financial measure. The company believes that non-GAAP net loss assist management and divestitures in comparing the company's performance across reporting periods on a consistent basis by excluding these noncash, nonrecurring or other charges that do not believe are indicative of its core operating performance. The reconciliation of GAAP net loss to non-GAAP net loss can be found in the first quarter of fiscal '22 earnings press release that the company issued and furnished to the SEC last night on Form 8-K.
 All of American Superconductor's press releases and SEC filings can be accessed from the Investors page of its website at www.amsc.com.
 With that, I will now turn the call over to Chairman, President and Chief Executive Officer, Daniel McGahn. Daniel? 
Daniel McGahn: Thanks, John, and good morning, everyone. I will begin today by providing an update on our grid and wind business units. John Kosiba will then provide a detailed review of our financial results for the first fiscal quarter, which ended June 30, 2022, and provide guidance for the second fiscal quarter, which will end September 30, 2022.
 Following our comments, we'll open up the line to questions from our analysts. I'm happy to say we started a strong fiscal year 2022. We've established an order book of over $100 million. We are now selling into next fiscal year. This all happened during our first fiscal quarter. This is well ahead of our historical pace to the business. Our backlog is growing, the business is growing. We see an acceleration of bookings due to some of the tailwinds we discussed last quarter. We see a diverse set of orders from renewables to semiconductor to materials and mining to industrial.
 We even had some orders from the U.S. Navy to continue some research and development work on new products. We see continued tailwinds in multiple markets and believe 2022 will be an important year in the maturation of our business. We see projected growth in the renewables market driven by the move to energy independence and carbon reduction. For example, the recently proposed U.S. Senate Inflation Reduction Act of 2022 contains significant spending and tax breaks, which are poised to boost the clean energy industry in the United States.
 We see investments in the semiconductor capacity increasing for the next several years to address 2030 era demand for memory and key materials for the green economy. The U.S. Chips and Science Act of 2022 is a recent example of government substantially incentivizing the growth of the sector of the economy in the United States. The tailwinds to our business seem to have become stronger just in the past few days. We see strong demand from mining, metals and materials driven by automakers and their move to electric vehicles in response to the global pressure to reduce environmental impact.
 We see our current foreign policy challenges demand sustainable security. These tailwinds are expected to benefit our business. During the first quarter of fiscal 2022, we reported revenue just below $23 million. We are seeing challenges of project time lines with customers as well as the availability of parts from our supply chain. We expect a stronger third and fourth quarter. We had over $50 million of new orders booked during the first quarter of this fiscal year. You can see and John will discuss that we're carrying elevated inventory levels. These are all indicators of growth.
 Now I'll turn the call over to John Kosiba to review our financial results for the first quarter of fiscal 2022 and provide guidance for the second quarter of fiscal 2022, which will end September 30, 2022. John? 
John Kosiba: Thanks, Daniel, and good morning, everyone. AMSC generated revenues of $22.7 million for the first quarter of fiscal 2022 compared to $25.4 million in the year ago quarter. Our Grid business unit accounted for 87% of total revenues, while our Wind business unit accounted for 13%. Grid business unit revenues decreased by 16% in the first quarter versus the year-ago quarter. Wind business unit revenues increased 49% in the first quarter versus the year-ago quarter.
 Looking at the P&L in more detail. Gross margin for the first quarter of fiscal 2022 was 10% compared to 13% in the year-ago quarter. Gross margin for this quarter was adversely impacted by a particularly unfavorable product mix, coupled with the continued drag on margins associated with the Neeltran backlog. D-VAR product shipments came in below recent quarterly averages. And as many of you are aware, D-VAR has historically produced one of our highest contribution margins for the company.
 We anticipate D-VAR shipments to rebound back to normalized levels for the remainder of fiscal 2022. As Daniel has mentioned, we are working our way through the acquired Neeltran backlog. In fact, we expect to have shipped off most of that backlog by the end of this Q3 fiscal 2022. As we see D-VAR sales rebound and the acquired Neeltran backlog become less meaningful on the overall financials, we anticipate gross margins to approach our recent historic average. We also priced in current material costs on the new orders received this quarter and anticipate those orders to have a positive impact on our overall gross margins as they ship.
 Now moving on to operating expenses. R&D and SG&A expenses for the first quarter of fiscal 2022 were $10.2 million, flat compared to a year-ago results. Approximately 11% of R&D and SG&A expenses for the first quarter of fiscal 2022 were noncash. Our non-GAAP net loss for the first quarter of fiscal 2022 was $6.8 million or $0.25 per share compared with $2.7 million or $0.10 per share in the year-ago quarter.
 Our net loss in the first quarter of fiscal 2022 was $8.7 million or $0.32 per share. This compares to a net loss of $5.4 million or $0.20 per share in the year-ago quarter. Included in our Q1 fiscal 2021 GAAP and non-GAAP net loss was a 2.1% tax benefit associated with the Neeltran acquisition. Please see our press release issued last night for a reconciliation of GAAP to non-GAAP results.
 We ended the first quarter of fiscal 2022 with $43.1 million in cash, cash equivalents and restricted cash. This compares with $49.5 million on March 31, 2022. Our operating cash burn in the first quarter of fiscal 2022 was $5.9 million.
 Let me take a minute to talk about our inventory position. As Daniel mentioned earlier, we booked over $50 million in new orders during the first quarter of fiscal 2022. We have increased our inventory to support the surge in demand, particularly within our new energy product lines. We increased our inventory by over $9 million in Q1 to nearly $33 million of total inventory. Almost all of the inventory increase is earmarked for projects within our new energy product lines that we booked during the first quarter, many of which are expected to ship in this fiscal year. This has put some strain on our working capital in Q1 and is expected to continue into the second quarter.
 We do not anticipate the strain on working capital less and beyond the second quarter as we expect to start to ship on this new backlog in Q3 and beyond. With all that said, we are anticipating strong revenue in the second half of fiscal 2022.
 Now turning to our financial guidance for the second quarter of fiscal 2022. We expect that our revenues will be in the range of $23 million to $27 million. Our net loss on that revenue is expected not to exceed $8.5 million or $0.31 per share. Our non-GAAP net loss is expected not to exceed $6.5 million or $0.23 per share. The company expects operating cash flow to be a burn of $4 million to $6 million in the second quarter of fiscal 2022. We expect to end the second quarter with no less than $36 million in cash, cash equivalents and restricted cash.
 With that, I'll turn the call back over to Daniel. 
Daniel McGahn: Thanks, John. Our business is strengthening, and we're beginning to see the initial benefits of our recent acquisitions. We experienced a robust order booking during the first quarter of fiscal 2022. We have a diverse set of powerful tailwinds emerging in our business. The world is quickly moving towards decarbonization to slow down climate change and create a path for a more sustainable world.
 This transition to a low carbon economy raises demand for semiconductors as well as metals, mining and critical materials. Our new energy power systems business is expected to play a central role in this transition. Our business is benefiting from the tailwinds created by global decarbonization efforts. In fact, we are seeing bookings strength in all 3 of these areas: renewables, semiconductors and materials.
 We anticipate the emergence of additional demand for our new energy power systems from the semiconductor and materials markets coming in the subsequent quarters. We believe we are well-positioned to take advantage of these tailwinds and expect to continue to grow and diversify our business.
 Now turning to our Ship Protection Systems. We delivered our SPS system for the USS Fort Lauderdale. We are focused on the successful installation of this system. We have established and demonstrated our capabilities to deliver the SPS systems. In our backlog, we have the USS Harrisburg, which is scheduled to be delivered this fiscal year, the USS Richard McCool and the USS Pittsburgh. SPS contributed to the Grid segment revenues in this first quarter of fiscal 2022, and has been a very consistent source of grid revenue for the past several quarters.
 Our team is very busy and focused on continuing to expand the SPS business while we deliver our initial systems. Although it is hard to predict exactly when we would see an uptick in SPS-related revenues, signs point to and what we expect to be a larger and brighter future with the Navy, hopefully in the very near future.
 To give you an update on our Resilient Electric Grid or REG system in Chicago, the system continues to perform well. It's already served as a great learning experience for the utility. We continue to see strong desire for this utility as well as others to further deploy REG into the power grid.
 Turning to Wind. We're supporting Inox and Doosan in the field with the initial prototype of a 3-megawatt class turbine and an initial wind farm of 5.5-megawatt wind turbines respectively. During the first quarter of fiscal 2022, we shipped 2-megawatt Electrical Control Systems or ECS, to our partner in India, Inox Wind. Just yesterday, Inox Wind announced an order from a repeat customer NTPC Renewable Energy Limited, for a 200-megawatt wind project to be commissioned in the state of Gujarat with 2-megawatt wind turbines.
 We expect demand for the 3-megawatt ECS, sometime later this fiscal year and the demand to continue in the next fiscal year. The design certification of the 3-megawatt class wind turbine prototype for the Indian market is complete. We believe Inox is in a good position to start expanding its business this year with the 3-megawatt class wind turbine, which should translate into an expanded order book for us.
 The 3-megawatt class wind turbine is designed to be a great fit for India's robust wind market, which is expected to add 3.5 gigawatts in 2022 according to GlobalData, going from a total cumulative wind capacity of 42 gigawatts at the end of 2021 to nearly 46 gigawatts by the end of 2022. Here at AMSC, we're preparing for Inox to transition to a larger 3-megawatt class wind turbine for deployment in India.
 Doosan is now erecting their first series of production 5.5-megawatt offshore wind turbines in South Korea, utilizing AMSC's ECS. We believe Southeast Asia is a geography well suited for our 5-megawatt class wind turbine and for our partner, Doosan. South Korea intends to become one of the world's top 5 offshore wind power producers, and we believe Doosan is well positioned for a very high market share. Doosan represents a long-term prospect for the offshore wind market in South Korea, and we look forward to potentially penetrating the global offshore market with this partner.
 On the supply chain front, there are still effects which have impacts on our supply chain due to the global pandemic and the conflict in Ukraine. We are seeing pressure in the supply chain due to component cost and availability. Supply chain-related cost increases continue to be a drag on our business, but we expect this to stabilize. We are constantly being challenged by availability of components and the lead times for deliveries.
 We're working with our vendors across product lines to maintain stocks. The team is doing a great job of managing these supply chain challenges and pricing it into proposals where possible. Please be reminded, as we said on the last call, we continue to work through the acquired Neeltran backlog. Some of these projects have moved out due to customer situations. And as a result, this is expected to impact the business next quarter and into the third quarter.
 To conclude, our backlog grew by approximately 30% during the first quarter of fiscal 2022. Our orders outpaced revenue this first fiscal quarter, and we expect revenue to grow in the coming quarters. In fact, we had a book-to-bill ratio of over 2 this first fiscal quarter, meaning orders received are more than double units shipped for the quarter. This is something the team has been working on very hard to accomplish and is a testament to their work ethic and dedication as well as the great customer service we've provided our customers.
 The business is performing well. We expect revenue to grow in the coming quarters with a stronger second half to fiscal 2022 driven by new energy shipments increasing in the third and fourth quarters of the fiscal year. As we experienced this revenue growth in new energy shipments, coupled with the working off of the acquired Neeltran backlog, we do anticipate meaningful gross margin expansion in the quarters ahead.
 We have Ship Protection System orders for deployment on the USS Harrisburg, USS Richard McCool and the USS Pittsburgh. We are supporting Doosan's effort to penetrate the offshore wind market with our 5.5-megawatt turbine, and we're preparing for our onshore wind partner, Inox to transition to a larger 3-megawatt class wind turbine for deployment in India. We do see continued demand though for the 2 megawatts.
 We are executing against our goals and that is to the credit of our employees due to their hard work to know we have more than 3 dozen open positions, mostly for direct labor to build our fantastic products, which are built into the cost of those products. I look forward to reporting back to you at the completion of our second fiscal quarter of 2022.
 April, we'll now take questions from our analysts. 
Operator: [Operator Instructions] And we'll first hear from Eric Stine of Craig-Hallum. 
Eric Stine: So first, maybe with the orders last week, you've got, what, $100 million or so in orders when you take those with the first quarter. Maybe if you can just break those down a little bit or talk how those break out in the various grid areas? And then just thoughts on how the breakdown or your expectation, how that flows between second half '22 and 2023? 
Daniel McGahn: Sure. So it's a diverse set of orders, as we mentioned in the prepared remarks, there's in -- there are renewables, semiconductor materials, general industrial and even some orders to continue work at R&D for the Navy. So it's kind of across the board in everything that we do today in grid. We talked about the timing, and we've set a few different things that kind of help you. But really, the uptick of these new orders really started in the third quarter.
 We said in the announcement that most of that business is going to be within the fiscal year, which means that there's obviously a tail that's pretty substantial, but less than half that would go into the next fiscal year. I think if you look at our timing and where we've been historically, the things we're seeing on the call today in August, we typically say in November. We're sold out for the year, right. The business has accelerated. We predicted it was going to accelerate, and we see that, and we're showing you all the indications of that acceleration. 
Eric Stine: And when you think about the -- specifically, I guess, semiconductor, and correct me if I'm wrong, but I think that that's been pretty customer concentrated maybe where that stands. And do you feel that the industry is becoming more aware of your capabilities and the value you bring for that application? 
Daniel McGahn: I think it's less concentrated than you imagine. We're working on multiple fabs with multiple chip makers at this point. Remember that part of the reason that we were looking to acquire these other great companies were to help to expand our content. It's also going to help to expand the customers and alleviate customer concentration. So we feel really good about the partners that we've worked with so far.
 We think they presents another further opportunity for further diversification in semi coming to the U.S. Obviously, we work with some fabs in the U.S. today. We've kind of said that directly before. But with this drive to reshore semi-manufacturing here at home, it's really for the generation of chips that we serve, hopefully, with the partners that we've either served before or we have marketed to. So we're really optimistic that the semi part of that -- of our business today will continue to grow and that there are these tailwinds to help bring more of that business to the U.S. 
Eric Stine: And then maybe last one for me, just on REG. I know you're limited as to what you can say. But can you just remind -- I believe that was put into service. I think it was last August or September. Chicago wanted to operate it for a year, at least, and then would think about next steps, would think about the second project, where we stand, how close are we to that year mark? And then do you expect -- do you think that the next REG data point is a follow-on with Chicago? Or do you -- or would it be with another utility who's watching this? 
Daniel McGahn: The handicap, but I think where we are with Chicago is they clearly are looking to the future. I think if we look at how they behaved on the first project, it's been really, really well. The product has been very accepted at the utility. The number of people that they've gotten involved within the utility to understand the technology, understand the operation and maintenance of it clearly indicates to me, in my opinion, that this is a technology that they want to see deployed all over the country, not just in their own grid, and they want to go help us do that as much as they can.
 The fact that we've gotten to this milestone really has reopened, reenergized and move forward a lot of the other conversations that have been going on in parallel. So it's hard for me today to handicap kind of where the next one is going to come from. You can clearly hear in my tone, I'm really focused in the next quarters on growing new energy. We have great indications coming from SPS.
 I think REG certainly is part of our long-term future, but it's not something that we're looking to generate more revenue on, let's say, in the next few quarters. But we do think it's a big and important part of our future business. 
Operator: And next, we'll hear from Justin Clare of ROTH Capital Partners. 
Justin Clare: So I guess, first off, given the size of your order book, you talked about seeing stronger sales in the second half of this fiscal year. Just wondering, are you expecting to see sequential growth in fiscal Q2, Q3 and Q4 of this fiscal year? And then does that put you on track for year-over-year growth for the full year? 
Daniel McGahn: I'll answer the first part of the question. Obviously, we're guiding with the second quarter for growth, right? So given the results in the first quarter versus the guide, we're seeing an improvement in the top line and the bottom line of the cash as well relative to the first quarter. And a lot of what we're saying today, we're talking about the third and fourth quarter.
 I think it's hard for me where I sit today to speculate will Q3 be stronger than Q4 or Q4 stronger than Q3? What we have to do is mind our knitting with our partners, make sure we're delivering our product on cost on time to this backlog that's grown for this year to help revenue for this year but also into next year as well.
 So what we're trying to do is get the pace of the business now up to this new level, and that's why you see a lot of the commentary that we're coming. And you can see it in the financials. It's clear in the commentary that the business has accelerated. But it's hard for me to predict project by project definitively and I'll be blunt. I don't worry so much quarter-to-quarter. What I worry about larger macro trends in the markets that we're serving, do we see ourselves winning more end markets that are growing? And I'd say that's yes, across the board. 
Justin Clare: And then just shifting gears to margins here. With the Neeltran backlog rolling off, I think, largely in fiscal Q3, you talked about approaching kind of historic average margins. Does this suggest that you could be nearing maybe a 20% level in Q4 of this fiscal year? Or is that a level that you could potentially reach as we move into next year? 
Daniel McGahn: Truly it's going to depend on the revenue level. It's going to depend upon the mix in the quarter of the projects. But I'd say kind of general directionally, if you look at our trailing gross margin over the past quarter, we've been in, say, the teens. If we go back a year or so more kind of before we started digesting the backlog, we were in the high teens into the 20%s. So that's kind of what we're trying to signal is that the potential is there depending on our ability to have the people in the parts and execute on all the projects and programs, which we're very good at. But in this economy, I don't want to promise it because something could change with the supplier tomorrow and we start struggling. 
Justin Clare: Maybe just one more for me. The CHIPS Act was just signed in the lot, with subsidies for domestic chip manufacturing. Just wondering what kind of potential there is for this legislation to support growth in your business and any sense for timing? Have you already had any conversations with customers about this bill driving increased the order flow? 
Daniel McGahn: Yes, just I'll answer really only the last part, which is yes. So we saw this coming. We are very active in Washington. We kind of understood where we're headed. We've been reaching out, trying to trade on our track record, both American Superconductor and NEPSI in the semiconductor space. So we believe it will help. I think it's hard to dial in how much and when. But certainly has shown that the sales team is having a lot more conversations with a lot more names and really focused on the growth in America, which we think is great on so many different levels, it's great. 
Operator: [Operator Instructions] We'll now hear from Colin Rusch of Oppenheimer. 
Colin Rusch: Could you talk about some of the opportunities for design cost out in some of the power management solutions that you've got, particularly those that you recently acquired? 
Daniel McGahn: Yes, I think when we -- part of why the team has done a good job, Colin, in my opinion, of trying to respond to the increase in component costs. We were already working on ways to better manage those costs going forward. So I think the team has done a good job kind of quarter-by-quarter trying to price in what we know. I think that I don't want to say that's all behind us, but it certainly seems like the inflationary pressures that were there a couple of quarters ago, 1 quarter ago, I'll say, are lessening. That doesn't necessarily mean that next year and after we get through the midterm, things change again, I don't really know.
 But the first problem is just kind of keeping up with the supply chain. Then the second order was going to be what can we do to kind of change the product offering in a way to help continue to drive those margins up. And I'm kind of telegraphing that we had a program to do exactly that before all this inflation started, and I'll just kind of leave it at that. It is something that we work on. And when things are ready to make changes in costs, we'll deliver them to the market. Hopefully, you have the same outcomes we've had in the past with great customer success. 
Colin Rusch: And then just sticking with that business, can you talk a bit about the opportunity to expand the geographic footprint from a sales perspective? Obviously, power quality is going to be a substantial issue on basically everywhere and going forward. And there's an opportunity for you guys to be more active, particularly in Central and South America as well as Europe. I'm just curious what your thought process is around that sales effort. 
Daniel McGahn: Yes, no, it's exactly that. We have a historical business with D-VAR in the U.S., in the U.K., in Australia. We've expanded that over the years and gotten all Europe a little bit into Africa and South America, that is right for the NEPSI and Neeltran products as well. And I think starting more with NEPSI because there's a direct path there already. So that's what I'm hoping that we'll see over time, we'll see growth coming from new energy, not only from the addition of the products, but the reach, the global reach of all of the product lines.
 And then kind of to go back to your previous question, we do look for ways, how can we get better leverage between the product lines, both from a feature function standpoint and from a cost standpoint. So I think you got it right on where we're headed. 
Operator: And it appears there are no further questions at this time. I'll turn the call back over to Daniel for any additional or closing comments. And actually, Chip Moore with EF Hutton just signaled for a question. 
Daniel McGahn: Sure. We'll take that from Chip. 
Chip Moore: I'd like to follow-up on that very strong order flow, great to see. Wondering maybe if you can help us handicap risk in the back half, whether it's supply chain or your labor, I think you talked about needing to hire a bunch of folks. Any risks there that some of that gets pushed out or just how do you think about that? 
Daniel McGahn: Yes. There's always risk project to project of something that kind of moves from a week in the one quarter -- from one quarter into another. But I'll say, my mindset today with the businesses, I'm starting to think about a year from now and beyond there because the backlog is starting to extend that far out. So what we want to do is we think the business has accelerated or on a kind of a different pace here.
 We want to make sure that we have the people and parts to be able to deliver on that pace, but it is hard to predict. Customer says we don't have access to our labor to commission. If that happens, then the commissioning events delayed, and those typically are revenue-bearing. So that we just have to manage. And we always start with the customer in mind. Whatever the customer needs, we're going to focus on and if they need to stay earlier, we need there -- we just to be there later. We just want to be there when we're needed.
 And I think because we take that attitude with everybody, our customers know that we're there to meet their objectives, not our own. We want everything to work well for them. We want them to come back and be a repeat customer, which we've seen a lot of in the business. So if we're a good partner and a good service provider, we think that's going to translate into more business in the future. 
Chip Moore: And if I could switch gears maybe on Navy, you mentioned of sort of signs getting favorable there on potential uptick. Can you maybe just remind us on the annuity like dynamics there for those systems? And then you also mentioned an R&D order with the Navy. Would this be another shift or are we talking about something else? 
Daniel McGahn: We could be talking about anything. It could be for another ship. It could be another part of the product. They're all in existing programs. So what we're trying to do is extend the capability to protect and power the fleet. So I'll leave it at -- but it's for that. To remind you kind of a revenue breakout for typically for an LPD ship, the revenue profile is about $10 million per. We've delivered on the first one. We're delivering on the second one now. Remember that the revenue is a percent complete accounting on it. So it's not something that bumbles up and occurs on delivery. It really kind of finishes upon the final delivery.
 So what our team is really focused on right now in the Navy part of our business is the successful integration of the first system into the first ship. And we think if that goes well, and we've been told in no uncertain words from the Navy, if that goes well, then you guys better be ready to deliver. So I like feeling that from the Navy. It makes me feel like we're doing the right thing investing in this product follow-on. 
Chip Moore: And maybe it's my last one. I guess, Inox specifically, and ECS, any more visibility on many more? So near-term, it sounds like you're still seeing 2-megawatt shipments, just particularly given the margin impact. Have you think about that here in the -- in rest of the year and then obviously we'll wait the 3-megawatt? 
Daniel McGahn: Yes, I'll let John talk to the margin impact. I think the thing we wanted to make sure people understood is that the 2-megawatt is alive and well and they're getting orders for it. And that may not be -- everybody may be just focusing on 3-megawatt, not realizing that demand for 2 could come as well. 
John Kosiba: Hey Chip. On the Wind margin, again, when Wind's running at scale, what we've said is the Wind product line and D-VAR product lines tend to be our highest contribution margin product lines. Wind's not at scale today. So it's not [indiscernible] into that category. So as we start to see Wind business ramp back up, we'll see a positive impact on margins. 
Operator: And there are no further questions at this time. I'll turn the call back over to Daniel for any additional or closing comments. 
Daniel McGahn: Thanks, April. To hearken back to my childhood and watch a Sesame Street growing up, the word of the day, folks, is acceleration. If you look at all the indicators and everything we said in the prepared remarks, from hiring people, bigger backlog, bigger inventory and we're trying to navigate quarter-to-quarter what's going to happen. We're guiding to growth from Q1 to Q2. We're talking about revenue continuing to strengthen throughout the rest of the year, and we're really focusing already on 2023.
 You have not heard this kind of enthusiasm from the team here probably in a long, long time. We felt we were trying to be as clear as we could last quarter. We're talking about the potential for the business to accelerate given the number of tailwinds that we have in the business. Those tailwinds today seem to be broader and deeper than they even were 1 quarter ago.
 So we're going to work our way through being able to handle the execution as we accelerate, and we look forward to being able to talk to you guys in about a quarter's time when we have the next quarter's results ready. Thank you for your attention and support, and good day. 
Operator: That does conclude today's conference. Thank you all for your participation. You may now disconnect.